Operator: Ladies and gentlemen, thank you for standing by, and welcome to BigCommerce Second Quarter 2022 Earnings Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. Please be advised that today’s conference is being recorded. I'd now like to turn the conference over to your first speaker today, Daniel Lentz, Head of Investor Relations. You may begin Sir.
Daniel Lentz: Good afternoon, and welcome to BigCommerce's second quarter 2022 earnings call. We will be discussing the results announced in our press release issued after today's market close. With me are BigCommerce's President, CEO and Chairman, Brent Bellm; and CFO, Robert Alvarez. Today's call will contain forward-looking statements, which are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements include statements concerning financial and business trends, our expected future business and financial performance and financial condition and our guidance for the third quarter of 2022 and the full year 2022. These statements can be identified by words such as expect, anticipate, intend, plan, believe, seek, will or similar words. These statements reflect our views as of today only and should not be relied upon as representing our views at any subsequent date, and we do not undertake any duty to update these statements. Forward-looking statements, by their nature, address matters that are subject to risks and uncertainties that could cause actual results to differ materially from expectations. For a discussion of the material risks and other important factors that could affect our actual results, please refer to the risks and other disclosures contained in our filings with the Securities and Exchange Commission. During the call, we will also discuss certain non-GAAP financial measures, which are not prepared in accordance with Generally Accepted Accounting Principles. A reconciliation of these non-GAAP financial measures to the most directly comparable GAAP financial measures as well as how we define these metrics and other metrics is included in our earnings press release, which has been furnished to the SEC and is also available on our website at investors.bigcommerce.com. With that, let me turn the call over to Brent.
Brent Bellm: Thanks, Daniel, and thanks, everyone, for joining us. On today's call RA and I will review our second quarter results and discuss our priorities and approach to managing through the current conditions of market turbulence. RA will also provide detail concerning our view on the back half of the year in his discussion on updated guidance. First and foremost, I'm pleased to share the second quarter was one of the best in our history, a result that encourages us given the macroeconomic climate. Our team continues to deliver on our mission to be the leading open SaaS eCommerce provider, empowering B2C and B2B merchants around the globe. Let's discuss the details. In Q2, total revenue grew to $68.2 million up 39% year-over-year. This was our 10th consecutive quarter of posting 30% or higher revenue growth, which was bolstered by strong results from the Feedonomics acquisition in Q3 of 2021. Our non-GAAP operating loss was $13.7 million, which was also ahead of our guidance last quarter. We concluded Q2 with an annual revenue run rate or ARR of $296 million up 41% from last year that represents a sequential growth in ARR of $15.5 million. This increase was driven by our continued success in the enterprise segment. Enterprise account ARR was $206.6 million up 68% year-over-year. That marks our 15th consecutive quarter of 40% or higher enterprise ARR growth. Q2 delivered the largest sequential growth in ARR in our history, excluding the quarter of the Feedonomics acquisition. It was better even than during the height of the pandemic when we saw strong transaction driven tailwinds to partner revenue, subscription upgrades and enterprise plan order adjustment. As I said, our strongest growth is coming from the enterprise segment, which now represents 70% of our total company ARR compared to 52% just before our IPO only two years ago. I am often asked about my views on our current progress and where I feel this business can be in three to five years. I am also asked how we need to operate in a challenging climate to deliver sustainably high revenue growth while hitting our commitments to investors about spending and profitability. What I want to emphasize from the start is this. Our underlying business momentum is strong. We are winning bigger, more complex merchants every quarter. We are delivering a product roadmap we believe is best in class and industry analysts and merchants are recognizing our emerging enterprise leadership. I have never been more confident about the prospects of this business than I am now. Over the last few years, you have heard me talk often about our upmarket journey from serving SMB to mid-market and enterprise merchants. I've given updates on our steps to develop new products and add APIs and GraphQL capabilities as part of our differentiated open SaaS approach. With the launch of our multi-store front functionality to all enterprise merchants in the second quarter, we now offer the key functionality and flexibility that the world's most sophisticated merchants need to be successful. We have crossed a transformational line in our journey as a company to become the world's most modern enterprise eCommerce platform. We at BigCommerce are not the only one saying this. Forrester, a leading global market research company named us a strong performer and placed us closest to the leader designation of our relevant competitive set. For B2B eCommerce, Forrester rated us the third highest in terms of the strength of our current B2B offering. Meanwhile, [indiscernible] in Europe named us the top enterprise B2C platform. And we won 2022 Australian Solution Provider of the Year from retail global's vendors and partnership. Just last week, we received high honors as a top solution in paradigms B2B combine for both mid-market and enterprise receiving 22 out of a possible 24 total medals. We earned six more medals in last year, and that marks the third consecutive year we improved our B2B ranking with Paradigm. On the three continents that comprise our top markets, the experts are ranking us at the top of their platform evaluations. Now that we are officially launched in Mexico and South America, we look forward to competing in those markets as well. While there is no doubt macroeconomic challenges are facing our industry and global markets more broadly, we believe we are still at the front end of a long term upward curve. IDCs most recent forecast, estimated $8 billion in worldwide digital commerce application revenue this year. That has projected to decline to $12 billion in 2025 and the good news for us is that spending for on-premise applications is projected to decline whereas spending on SaaS solutions like ours is projected to grow at 20.8% CAGR. New enterprise store acquisition drives our growth, and we continue to see strong demand. With our recent acquisitions of long-time technology partners, Bundle B2B and B2B Ninja, BigCommerce has expanded its native B2B eCommerce functionality to provide a dynamic platform for all B2B merchants that is easier to use, faster than legacy B2B solutions and more flexible and powerful than other SaaS platforms at a time when B2B eCommerce is growing faster than B2C. In Q2, our international expansion efforts made further progress. Adding to our operations in the, our international expansion efforts made further progress adding to our operations in the largest Western European economies. We launched our formal presence in the Nordic countries of Denmark, Sweden and Norway, and further expanded into the dock region with the addition of Austria. We built on our recent launch in Mexico with expansion to Peru, our first country in South America. In the coming months we'll launch in additional Latin American countries. We're supporting new languages, adding new geographies and integrating new payment methods for local markets. We're in the early innings of global expansion and our growth rates in EMEA, APAC, and non-US Americas give us confidence that expansion will pay off in the near and long term. We continue to add new enterprise merchants to our platform in the second quarter. Mountain Equipment Company, Canada's largest supplier of outdoor gear, launched its headless integration using BigCommerce checkout support storefronts in English and French. Well Pharmacy, one of the UK's largest pharmacies is now selling over the counter and prescription medications on its BigCommerce store, leveraging our open SaaS and headless capabilities. Australian Motorcycle Helmet brand foresight helmets is leveraging headless to create its beautifully designed storefront. Lifetime Brands, a leading global designer, developer and marketer of a wide range of household products from KitchenAid, Farberware and other brands, launched a new store using B2B addition. Tile Warehouse, a subsidiary of major UK tile brand Topps Tiles, launched a pop-up storefront to sell clearance tiles directly to consumers, leveraging a fulfillment partner to pull through real-time inventories and providing custom URLs for product categories and attributes. Finally Zumnorde, the popular German shoe retailer, turned to BigCommerce to internationalize and relaunch its web shop on a modern platform that doesn’t require constant upkeep and that can be customized to provide an incredible customer experience. I'd now like to share some thoughts about the current operating environment, which is challenging for us as it is for others. Although the majority of our subscription-based business is not directly dependent on the GMV trends of our merchant stores, we are impacted in other ways by downturns in eCommerce spend that can be caused by the economy, return to shopping and physical stores and/or other adverse economic changes. Specifically, reduced growth rates in our merchant sales impact our partner and services revenue, balance of subscription upgrades and downgrades, order-based enterprise fees and trendline for customer retention and bad debt. We try our best to make decisions to balance the achievement of our near-term financial goals with the maximization of our long-term business and shareholder potential. We believe we need to lead with humility, grounding decisions and our understanding of customer and partner needs and our mission to make open SaaS the best solution for the next era of e-commerce. Along the way, we have had to respond to unforeseen challenges and occasionally make new bets on opportunities that earn our conviction. Halfway into this challenging year, we've managed to achieve our goals so far. Thanks to our management team's collaboration and adjustment we continue to believe that we will achieve the top line and bottom line guidance we set at the beginning of the year, despite the impact current market conditions have on select components of our P&L. We understand that the market is focused on potential risk areas created by current economic headwinds. Nearly all e-commerce companies have been talking about these risks to their businesses. We too face these risks, but on balance, I believe the strengths of our business model are demonstrated well in this market. And I'd like to dive deeper into why that is. First 70% of our revenue mix comes from enterprise merchants, which are predominantly established successful businesses from a wide range of categories, geographies, and B2C and B2B use cases. Similarly, but separately, 70% of our revenue comes from recurring subscription revenue, which provides a stable, predictable top line. The combination of durability from enterprise customers and predictability from subscriptions makes us less vulnerable to short term economic swings then would be a consumption or GMV-based revenue model. Second, the components of our subscription plans that do adjust with GMV tiers or order counts are calculated using a trailing 12 month look back. This has a moderating effect against short term and seasonal fluctuations in consumer spending. Sharp movements upward take time to be fully realized in our pricing and revenue, which we saw during the pandemic, noting that a revenue did not increase as fast as total e-commerce GV did. On the flip side, sharp short term movements downward are also dampened by our trailing 12 month convention. For us, the most immediate direct impact to our revenue from our customer's GMV fluctuations occurs in partner and service revenue, the biggest component being rev share from our payments partners. We are doing our best to account for eCommerce spending risk in our outlook and RA will speak to that in detail shortly. Third, nearly all of our direct sales occur in US dollars today. Foreign exchange risk is limited to partner share like in payments that are earned in non-US GMV, essentials plan subscription upgrades prompted by GMV earned in foreign currencies and are non-US operating expenses. These FX sensitivities impact a small percentage of our total revenue and expense base today. We do not believe a strong US dollar is a material risk to us at this time. Finally, our product is considered mission critical buyer merchants success in eCommerce is imperative to all businesses strategically and financially, especially post COVID. Recent CIO surveys indicate continued robust spending and software, and we offer a material total cost of ownership advantage over legacy enterprise software competitors. As merchant budgets tighten our platform should remain attractive and mission critical for most of our customers. Shifting gears now to our board of directors, as we announced earlier this week, we've added two fantastic new directors to our board. Sally Gilligan, Chief Growth Transformation Officer of the Gap and Satish Malhotra, Chief Executive Officer of the Container Store. Our goal was to enhance our board with the experience and perspectives of retail veterans. Sally and Satish respectively represent the technical and CEO retail buyer personas to whom we sell while also bringing deep functional expertise to our board governance. We're excited about all they will contribute. Meanwhile, I want to sincerely thank Steve Murray and Jack McDonald for their years of service on our board. Steve was a partner at the venture firms who led our series C and D rounds and served as our lead independent director. Jack is iPod and ran two successful public software companies and served as a valued mentor to me through our process. They were instrumental in our growth to public company status and were grateful for their leadership and service to BigCommerce. As I wrap up, I would like to reiterate my belief that our team and business performed very well. This past quarter, we delivered strong results in a challenging operating environment. Investments made across our strategic priorities, continue to deliver customer and business value. We're increasingly viewed as a true leader in the e-commerce industry, and I'm especially grateful for everything our employees and partners have done to earn that during times of dramatic change. With that, I'll turn it over to RA.
Robert Alvarez: Thanks Brent. And thank you everyone for joining us today. During my prepared remarks. I'll walk through details on our Q2 results. In that discussion, I'll also speak to how some of our metrics are derived so that investors could more easily understand the underlying trends in revenue and bookings. In addition, I'll provide details on how current conditions are impacting the business. Efforts we are taking to optimize our spending. And finally I'll provide greater detail on our guidance on back half revenue and profit assumptions. We always strive for transparency when discussing our results and outlook. So we want to take extra steps to provide clarity in this current macroeconomic environment. In Q2, total revenue was $68.2 million up 39% year-over-year. Subscription revenue grew 51% year-over-year to $51.3 million, driven by our mix shift to enterprise accounts. Supported by strong results from our Feedonomics acquisition, we have now posted 10 consecutive quarters of 30% or higher total revenue growth and 15 consecutive quarters of 40% or higher enterprise ARR growth. Partner in Services Revenue or PSR was up 12% year-over-year to $16.9 million. Though platform transaction volumes have largely been in line with the conservative expectations we set at the beginning of the year, we saw slightly lower than expected volumes in GMV in Q2. Overall, we have been encouraged by the durability that we are seeing in transaction volumes thus far in the year, but given the economic climate, we are taking conservative approach to our PSR outlook in the back half of the year. And I'll discuss this in more detail later in the guidance section of my remarks. Revenue in the Americas was up 41% in the quarter while EMEA revenue grew 42% and APAC revenue was up 18%. Our international progress is strong as we entered five new markets in July, and I'm proud of the traction our teams are delivering overseas. I'll now review our non-GAAP KPIs. Our ARR agreed to $296 million of 41% year-over-year, driven by continued strength in our enterprise customer base. That represents a sequential growth in total ARR of $15.5 million, which is the highest growth in our company history, excluding the quarter of our acquisition of Feedonomics. In particular, I would draw your attention to the composition of that big sequential growth in ARR. As a reminder, we calculate ARR at the end of each month, as the sum of two things. First, it includes our end of period, monthly recurring revenue multiplied by 12 to prospectively annualize subscription revenue. We often refer to this as our subscription ARR. Second, we then add the trailing 12 months of PSR. The sum of subscription ARR, and the trailing 12 months of PSR is our total ARR. When looking for leading indicator trends in net bookings, investors often look to either changes in deferred revenue or remaining performance obligations or RPOs. These metrics are not good indicators of BigCommerce's booking trends because most of our merchants today are billed month-to-month and we also see large multi-year partnership agreements in deferred revenue or RPO that can make period to period comparisons challenging. Instead, one of the best ways to see the underlying trend in our net bookings is by looking at the quarter-over-quarter sequential change in subscription ARR. That difference is a reasonable indicator of our change in net bookings in the latest quarter. In Q2 subscription ARR increased by $13.7 million, which was 29% higher than our previous record increase in Q4 of 2021 and also higher than any quarter during the height of the COVID 19 pandemic. What this means is that we posted our highest sequential growth in ARR in our history and that growth was driven by gross new subscription bookings growth in enterprise and omnichannel, even as we are seeing less tailwind to PSR and pricing adjustments due to current macroeconomic conditions. Those conditions are largely outside of our control. But what we have tried to control is winning new deals, launching merchants on time and providing the best level of service for our merchants, which is how we manage to exceed our gross new targets and set an ARR record even the midst of this type of economic uncertainty. At the end of Q2, we reported 5,418 enterprise accounts, up 1,503 accounts or 38% year-over-year, including Feedonomics. ARPA or average revenue per account for enterprise accounts was $38,133 up 22% year-over-year. Now that our enterprise accounts represent 70% of our total ARR, we will continue to share details and accounts with greater than $2,000 in annual contract value or ACV in our quarterly filings through the end of the year, but we will not review them in our earnings calls. I'll now shift to the expense portion of the income statement. As a reminder, unless otherwise stated, all references to our expenses, operating results and per share amounts are on a non-GAAP basis. Q2 gross margin was 77% up 131 basis points from the previous quarter. Meanwhile, we reported gross profit of $52.3 million up 33% over the prior year. In Q2, sales and marketing expenses totaled $31.2 million up 56% year-over-year. This spending represents 46% of revenue up 481 basis points compared to last year. This increase was driven by additional head count, particularly due to investments in international expansion and enterprise. Research and development expenses were $19.4 million or 28% of revenue, up 144 basis points from a year ago, driven by additional hiring to support our investments in our key strategic initiatives. Finally, general and administrative expenses were $15.5 million or 23% of revenue up from 21% of revenue a year ago. We expect to see growing operating leverage from G&A as we moderate hiring and other expenses in the coming quarters. In Q2, we reported a non-GAAP operating loss of $13.7 million, a negative 20.1% operating margin. This compares with negative $4.2 million or a negative 8.6% operating margin in Q2 2021. Adjusted EBITDA was negative $13.2 million a negative 19.3% adjusted EBITDA margin compared to negative 7.1% in Q2 of 2021. Non-GAAP net loss for Q2 was negative $14.1 million or negative $0.19 per share compared to negative $4.2 million or negative $0.06 per share last year. We ended Q2 with $360 million in cash, cash equivalents, restricted cash and marketable securities. Year-to-date, operating cash flow was negative $35.9 million declining from negative $17.4 million a year ago. We reported free cash flow of negative $39.3 million or a negative 29% free cash flow margin. This compares to negative $19.1 million and a negative 20% free cash flow margin in Q2 2021. As we discussed in our recent Investor Day, we are committed to reaching breakeven by mid-2024 and continue our path to Rule of 40. Again, 70% of our revenue mix comes from enterprise merchants and separately 70% of our revenue also comes from consistent recurring subscription revenue. More than 60% of our total cost sits in staffing, which allows us to moderate spending where necessary by controlling our pace of hiring and thereby generate improvements to operating leverage behind our durable recurring revenue stream. This is a strong growing enterprise business and we are confident we can grow profitably behind our strong merchant base and healthy unit economics. I'd now like to review some measures that we are taking to optimize and prioritize spending. First, we are prioritizing high ROI investments in the enterprise segment and focusing on the key strategic initiatives, we believe will increase our leadership position over time. Over the past four years, we have seen an average LTV DAC ratio of eight to one for our enterprise business compared to two to one for our non-enterprise business. We have shifted dollars from non-enterprise marketing activities to prioritize enterprise. And we also rolled back Fremont promotions on non-enterprise plans during Q2 as well. Consequently, we are seeing fewer new small business signups, but we are seeing improved cohort health and retention, higher revenue and improved profitability. Second, we have materially slowed down our pace of hiring. We exceeded our hiring expectations over the last nine months, even in the midst of a competitive hiring landscape. And we have brought on key roles needed for our investment plans in omnichannel international expansion, B2B headless, and largest enterprise. We are confident we can continue our momentum and capitalize on the benefits of the significant investments we have made in our employees. Even as we moderate our pace of hiring, we estimate that this will generate an exit rate savings of six to 8 million heading into next year. I am confident that this and many other cost savings initiatives currently underway will keep us on pace to meet the timeline to profitability that I affirm previously over the course of the last six months, I've also received many questions about how inflation is affecting our business. And I'd say we are seeing its effect most directly in labor costs. Thus far, we are taking necessary steps to offset this through tight budgeting, geographically, diverse hiring, and other cost savings initiatives. We are also managing pricing closely to ensure that we are seeing the full benefit of the value we provide our merchants. We will continue to take actions as necessary to manage and offset cost pressure in the coming quarters to deliver break even by mid 2024. In conclusion, let's shift to our guidance and outlook for next quarter in the full year 2022 for the third quarter, we expect total revenue in the range of $68.3 million to $71.2 million implying year-over-year CAR over year organic growth rate of 15% to 20% with Feedonomics now in the 2021 base for Q3. Our non-GAAP operating loss is expected to be $14.4 million to $16.4 million for the full year 2022. We expect total revenue between 277 million to $282.9 million translating to a year over year growth rate of approximately 26% to 29%. We expect a non-GAAP operating loss between $48.9 million and $52.9 million. This reflects a little less than a 1% change to full year revenue at the midpoint to risk adjuster remainder of the year compared to our prior quarter guidance. Despite this, we are holding consistent to our prior quarter guidance on non-GAAP operating loss for the year and tightening our range based on the cost containment efforts we've already taken. Now I'll provide more context with respect to our current thinking for the back half of the year. First, let me address our assumptions around transaction volumes and their impact on PSR and subscription pricing adjustments. Thus far, transaction volumes have been largely in line with the conservative expectations on which we based our plans at the beginning of the year. However, additional consumer spending headwinds in the back half could impair year over year growth in transaction volumes and GMB. We anticipate that this could have a potential negative impact of three to 4 million to revenue, primarily in revenue share. We capture in PSR, but also subscription revenue due to potentially fewer pricing upgrades and more downgrades and churn, which we have now factored. In second, we expect the level of competition to remain high to the back half of the year. And we could see some additional headwinds to new merchant growth should sales cycles lengthen that said, we also see significant total cost of ownership and product advantages against legacy enterprise competition. That could actually be a tailwind in a tight merchant spending environment. We are prioritizing these enterprise merchants and we expect to see a smaller, absolute number of new merchant ads in the back half due to the removal of our non-enterprise free month promotions. However, we expect to maintain healthy and growing ARR driven by a strong enterprise bookings mix and higher APA consistent with our Q2 mix of new merchant wins. Third, we will continue to invest against our strategic priorities while we will continue to make the crucial investments needed to fuel long term durable revenue growth. We are also taking steps to pay, spending closely with revenue growth, to deliver our profit commitments. Our profit guidance has included the anticipated impact of those efforts throughout the back half. And we expect those efforts to begin showing additional momentum and improving operating loss results. As we exit the year. Finally, I'd one skin like to thank all of our incredible employees, merchants and partners. We are delivering strong results, even in the midst of a challenging operating environment. I'm so proud of the work and dedication of this team and the level of commitment and character that continues to shine bright each and every quarter. With that, Brett and I are happy to take any of your questions. Operator?
Operator: [Operator instructions] First question comes from Gabriela Borges, Goldman Sachs. Please go ahead.
Gabriela Borges: Good afternoon. Thanks for taking the question. For Brent to start, I'm curious if you're seeing any change in the cadence of free platforming cycles and willingness for customers to invest in technology, putting aside the paw a services business, and really focusing on the subscription solutions business. So two questions in that; one is any change in willingness to invest in the cadence platforming cycles and two, are you seeing any change over the last quarter in the number of RFPs you're being invited to, or your win rates because of the new technology upgrades you've announced in multi hub and multi inventory.
Brent Bellm: Hi Gabriela, the trends we're seeing in Q2 are consistent with the last couple of quarters, meaning a healthy continued demand in mid-market and enterprise for new and replatform decisions. This is in recent quarters of course, down from the first year of the pandemic, when there was a mad rush by companies caught flatfooted or late to adopt, but in terms of replatforming cycles, we continue to see that demand be healthy. For small business, the demand is not what it was anywhere close to the peak of the pandemic, but for mid-market and enterprise it's strong. We are noticing ourselves getting into additional and healthy RFP opportunities as a result of the strong tech analyst ratings we've been getting of late, including Forester for both B2B and B2C from Paradigm for B2B i.e. Merck in Europe for B2C. Those are seemingly getting us into additional incremental consideration cycles and it's too early to say what those win rates will be because the RFPs tend to take some time to work their way through to a decision, but we're optimistic that our win rates could be assisted by this as well. Thanks for the question.
Gabriela Borges: That makes sense. Thank you. The follow up is for RA, would love to hear a little bit about the impact that pricing adjustments or upgrades have historically had on your business over the past two to three years. And how do we think about the potential magnitude for downside to the extent you see downgrades in your ability to manage through that?
Brent Bellm: Yeah. Hey Gabriela, a lot of cases some of the upgrades like the upgrades we did in Q1 for pro plans was really just to get the merchants on the right plans. Yeah, there could be some increase in upgrades, but really is to get them the service entitlements and level of service that we feel those merchants need. So they can grow into really large enterprise merchants. I would say in hindsight, over the last two to three years, our upgrades as we move from an SMB platform to enterprise platform in large part has hasn't been material in terms of our overall revenue. It's being basically putting merchants on the right plans. And so going forward, I think our enterprise pricing is pretty well fine-tuned at this point. Our go to market is pretty fine-tuned at this point. Upgrades for us last year, obviously was impacted by the in increased transaction levels with COVID this year now we're moderating that a bit especially in the back half, but hope, hope that answers your question.
Gabriela Borges: Appreciate the color.
Operator: Thank you. Our next question will be from Clarke Jeffries, Piper Sandler. Please go ahead.
Clarke Jeffries: Hello. Thank you for taking the question. First is maybe you could help us walk through the deal composition the quarter and maybe the occurrence of larger deals. A couple of new metrics this quarter, trying to understand what drove that big sequential growth in subscription ARR and what seems like maybe one of the lighter quarters in terms of raw net ads on the enterprise account number.
Brent Bellm: Yeah, I'll start Brent, but Q2 represented a great quarter in terms our ability to win large deals on both big commerce and Feedonomics both sides closed deals north of a $1 million of ACV, which is super encouraging 12 months into the Feedonomics from the Feedonomics acquisition, I'll tell you, we just couldn't be more impressed by the team and the product, the use cases of Feedonomics back 12 months ago, versus what we're seeing today are greatly different. I think Feedonomics with BigCommerce we're able together to expand the total addressable market opportunities. When we think about just Q2, some of the notable wins for Q2 and in Feedonomics was new enterprise merchants, leveraging them for marketplace channel management, including listings on Amazon, Walmart, Target Plus, we had a very large win with a leading same-day delivery fulfillment partner in the US and in Latin America, them syncing real time local product information for millions of products. Also a large win with a global affiliate and advertising platform, transforming data at scale for millions of products. So I share that with you because I want to give everybody a sense that these use cases go well beyond just commerce. I think what we've learned with Feedonomics plus BigCommerce, there's a lot of opportunities in terms of aggregation, syndication, data transformation at scale for merchants, but also for our agencies, our channel partners, our technology -- and technology companies. So when you look at that sequential increase, a third of that increase was Feedonomics subscription and two thirds of that was BigCommerce. So both sides had a really great quarter and two several really large deals.
Clarke Jeffries: Excellent, helpful color. Sounds like Feedonomics is really executing. Second follow-up is just tightening the range on the profitability guidance, but roughly holding the midpoint. Sounds like there was some commentary about a flowing of hiring $6 million to $8 million. I'm just wondering if there were any investments that are actually going up and offsetting the slowing and hiring to get to you to sort of keep that in line of operating income guidance.
Brent Bellm: No, thankfully I think we, we really got ahead of it, Clark. I mean, we went into the year knowing that it was an investment year for big commerce. We feel great about our execution in terms of staffing up our key strategic initiatives, but we also went in the year knowing that next year we needed to show leverage, because we've always had a goal to get to break even by mid 2024. So I feel great about how we staffed up. We executed really well when we look at the five strategic initiatives that we covered at our analyst day. I think we've we we've executed extremely well across all five. And so if I take a step back and think about our progress, as Brent mentioned we believe we are the most modern e-commerce platform in the market today in our goal is that we want to be a clear leader in the enterprise category over the five years over the next five years. And these are these investments that we're making are how we're going to get there. So, make no mistake we're investing for the future, but with the changing macro environment, we're also taking a hard look at the entire business. We're making sure that our spend is focused on the highest ROI areas. And then we're also looking at optimizing our cost structures to make sure that our unit economics improve over time. And our profitability also improves, but we went into the year knowing that we were going to drive leverage, starting to drive leverage in the back half. So I feel pretty, really, really good on our ability to kind of get ahead of it. And we don't feel like we got ahead of our skis, so really proud of the team.
Operator: Thank you. Next question from Terry Tillman of Truist. Please go ahead.
UnidentifiedAnalyst: Hey guys, this is actually Connor [ph] on for Terry. Thanks for taking my question. First one for me just on international expansion. So congrats on growing your presence in Europe to Nordic [ph] I know international expansion is one of your key investment areas this year. Could you maybe just remind us what you look for in terms of ROI entering new geography and have these regions been mostly consistent with the US in terms of enterprise merchant demands? Or is there maybe a little bit more slow down there? Yeah, go ahead. Brent,
Brent Bellm: Why don't you take the ROI part of it RA and I'll answer the second part.
Robert Alvarez: Yeah. Connor, we covered this on the analyst day, but you know, we're basically we know that we're going to invest in the first year. We look for a, a payback anywhere from 18 to 24 months. Sometimes when we make heavy heavy investments, it could be up to 30, but on average, you know, we're kind of make, want to make sure that these expansion costs, we get paid back in kind of 18-24 months and the markets that we enter into we, we test and learn a lot before we make these investments. We know they're strong product market fit. We've identified agency partners, tech partners, to make sure that our product can be ready in those markets. And so much like the markets that we've seen such great success in, we try to replicate that model. And I could say that that holds true for the markets that we entered into in Q2.
Brent Bellm: Yeah. And in terms of performance in market to market, none of them should be benchmarked against native English speaking countries like the us, which by the way, was our second market, not our first Australia was our first way back when or the UK. I mean the UK just was a rocket ship, but even when we formally entered the UK, we already had more than 3000 stores there. We just didn't have a marketing website or employees. It's very new to enter foreign language countries, Italy, France, Spain, Germany. What we're seeing Netherlands, what we're seeing in general is that our markets are in line with our, sort of first year, second year performance, but there's variability from country to country that can have a lot to do with the early traction or lack thereof that we get with local agency partners and just how strong they are and how heavy they go in with us. An example of a market that's off to spectacular success is Italy. And if every new launch country where like Italy, then we'd be way ahead of all of our targets. But in general, we're on track and that's true in Europe. It's on, it's true in Mexico as well. Thanks for the question.
Operator: Thank you. Next question comes from Daniel Reagan, Canaccord Genuity. Please go ahead.
Daniel Reagan: …forecast for the business, just given the macro backdrop, which verticals or cohort types were you seeing the most risk in, and then also as volumes come under pressure, how should we be seeing about risk of downgrades? Any color there would be great.
Brent Bellm: I got most of the question. I don't think, I got the beginning, but, I think I got the gist of it. So, what we've seen in our aggregate GMV volume, in the first 18 months to 24 months of COVID, we saw a sizeable step up in our aggregate GMB. We have not seen a deterioration of that. We've seen growth rates that have come down a little bit. But in terms of aggregate GV volume, pretty much across every major category we've seen growth and we continue to see growth. There's some categories growing faster than others, but overall they're all growing off of a much larger base than they were, you know, 12 or 18 months ago. When we think about the back half, we AC, obviously have to factor in GMV assumptions for same store sales. We also have to factor in the launch of new accounts and I'm really excited about the back half because we're actually launching one of our largest accounts ever in, in hi in our history. And it's going to once fully launched, it'll be north of a billion dollars on our platform. So when we think about and look at the GMV by category, we're seeing growth across most categories. We're also factoring in the launch of new accounts with much higher GMV. And just like in Q2, as we sign larger and larger merchants, we're going to be able to add that GMV on top of the aggregate GMV. That's been stepped up over the last, 12 to 24 months. So as I think about the back half of the year, you know, we're looking at same store sales assumptions discounting that slightly, and then adding the impact of, you know, large accounts that you know, we're really excited to launch.
Daniel Reagan: Got you. Super helpful.
Robert Alvarez: 1 thing I'll also add there as our mix is now 70% enterprise these are businesses, often national brands. These are companies with a wide product catalog that have kind of the durability, I think that will allow, their GMV to continue to increase on big commerce. So as that mix continues to shift even further and further to enterprise as, and then you add on top of that large enterprise, accounts that are a million dollar in ACV and accounts that have a $1 billion running through the platform. That's definitely going to help us, I think navigate any fluctuations in same store sales or near term economic uncertainty.
Daniel Reagan: Got you. Super helpful. And just as a follow up and circling back to the replatform cycle, as we think about the Magento displacement opportunity with sun-setting of M1, can you just talk a little bit about how your approach acquiring these customers has evolved now that you have probably a little bit better way of the land? And then secondly, what levers can you pull to accelerate? Any agency efforts here? Thank you.
Brent Bellm: Yeah, with time, we keep trying to get better both at the core demand generation tactics that we're already good at, which I will highlight as well as add new tricks that have higher ROI. So the things that we already are well experienced at digital marketing outbound and inbound sales development rep sort of lead cultivation account targeting, and especially one of the things I think we're best in the industry at is working with our agency partners. We're very good at co-selling with agencies building joint value proposition with agencies, but one of the big opportunities we have is to expand our agency network, both within established markets and new markets. And particularly at the high end, if you go to the very high end of large enterprise, you know, historically we were competing in mid-market in the lower end of large enterprise and the types of agencies that were doing the multi-million dollar installs and implementations, weren't working with us, they were working with in years past the Oracle ATGs and IBM WebSphere of the world, even though those aren't sold anymore or at Magento enterprise, maybe Salesforce SAP, and now that many of the tech analysts are actually rating us ahead of those platforms. And far ahead of our more SMB centric platforms, we're entering the consideration set. And in fact, the priority set of, of many of these top agencies. And so we're trying to compete for the full spectrum of opportunities. And some of these sales can be very big and needle moving for us if and when we win them, there are also a bunch of other technology partner tricks and you know, working with our existing merchant base to expand our opportunity, set that our new tricks for us, we're trying to work on. And you know, and finally we want to increase our presence at events eCommerce events, industry events. We want the word to get out that we are the world's most modern enterprise eCommerce platform and be in the consideration set for every relevant decision that big companies and small companies are making
Robert Alvarez: The only that's great. Brent, the only thing I would add to that point is we launched an omnichannel certified agency partner program. That's getting a lot of great interest in traction and essentially that allows our agency partners to help merchants on their omnichannel initiatives regardless of what platform they're using. So regardless if they're on Magento or anything on other platform they're able to work with, Feedonomics it's a great example of how big commerce and Feedonomics are working together. They call Feedonomics leveraging our ecosystem of amazing partners, our partners, being able to leverage their technology to transform millions of skews of data and syndicate that to a lot of feeds at a scale that they just couldn't do on their existing platform. So I think feed Andos and our omnichannel initiatives in this partner program could be a really good way to incentivize merchants to start working with Feedonomics and then, hopefully migrate over to big commerce sooner rather than later.
Operator: Thank you. The next question will be from Josh Beck with KeyBanc. Please go ahead.
UnidentifiedAnalyst: Hey guys, this is Mattie on for Josh. Thanks for taking my question. My first question for you is what are going to be the key factors bridging what today's 15% to 20% organic growth outlook is here to your long term model expectations. Thanks.
Brent Bellm: Yeah, so I'm happy to take that. I I'll just point to enterprise. So even with Feedonomics in our base period in Q3 we still feel like we could grow our enterprise ARR potentially over 40%. Enterprise and Feedonomics, as we've mentioned before, we expect both segments to grow at a pretty high clip at a very comparable clip. Knowing we've got some lapping effects this year it still gives us a ton of confidence that with the large mix of our revenue tied to subscription that large mix tied to enterprise the deals that we're winning today and that we have great pipeline to win in the second half we still stand pretty confident that, over the next five years, this is a business that, will deliver a 25% to 30% CAGR.
UnidentifiedAnalyst: Awesome. And for my follow up, I'm curious if you guys could give an update on how B2B Ninja and B2B Bundle acquisitions are tracking and then just overall B2B momentum. Thanks.
Brent Bellm: Yeah, they're tracking consistent with their trend line pre acquisition, which is a very healthy trend line. And we shared some of those B2B growth rates in our analyst day in Q1. I should say in in May, the most important thing to note is with bundle B2B. There's a fair amount of work that we do to now bring that product native into the platform and improve the architecting and the compatibility of it with all themes with multi-store front additional geographies. So there's refactoring of the product that they have to make it more usable with the best capabilities, both and both functionality and openness at big commerce. And we are fixated on that in the short term, continuing to sell it very successfully. And then, maybe after a year after acquisition, we'll start turning our attention to the addition of additional functionality in this. We're just very pleased though, with where we are at B2B in general. For paradigm that it's mid-market and B2B combines to recognize us as an award winner in 22, out of 24 categories, that shows that the product is quite well rounded and mature as it is, and it's only going to get better.
Operator: Thank you. Next question will be from Koji Ikeda of Bank of America. Please go ahead.
Koji Ikeda: Yeah. Hey. Hey, thanks guys. Thanks for taking the questions. Just a couple from me. I wanted to ask the first question on the guidance and RA appreciate all of the color on the call regarding the guidance and the way to think about it. I guess my question is really about PSR regs, really thinking about how we should be thinking about this segment's growth in the second half. I clearly understand the factors that were driving the guidance there, but real short question is, could PSR revenue growth be flat or even down in the second half?
Robert Alvarez: No, we don't think so. Koji. When I think about the second half you know, we do start with our same store sales assumptions. And then we add on the impact of, you know, the large accounts that we launch and the impact to PSR. We do expect that impact in the kind of part of Q3, most of Q4. So Q4, I suspect PSR kind of in the mid to high teens based on that remember we also have a mix of non GMV related revenue items in PSR. But when I think about Q4, I can see that kind of in the mid to high chains. When I think about Q3, we do have to lap a deal, couple of partnership deals that we signed Q2 of last year that could put Q3 in the single digits, but overall for the back half. No, I don't, I don't see that being negative. If anything, I see it slightly down in Q3 just for the lapping effect of those deals from last year and then outpacing based on the large merchant launches in Q4.
Koji Ikeda: Okay. Got it. Thanks RA. And then just, one follow up there. So thinking about the subscription side of that, that equation, the little bit of a slower growth rate there just that's the subscription component for potential downgrades, affected by the GMB with the commentary that you said earlier in the call, is that the right way, right way to kind of think about the growth algorithm here.
Brent Bellm: You got it. Yeah because the GMB assumptions affect PSR obviously, but definitely touches on assumptions around upgrades, downgrades and potential churn. The good news is, you know, with our large mix of enterprise, our retention metrics still look really good. But again, when you're kind of scenario planning and what if planning around that it does touch on churn a little bit, but since our mix is so heavily weighted to large enterprise merchants, we feel pretty good about that, but it does affect upgrades and downgrades.
Koji Ikeda: Got it. Thanks guys. Thanks for taking the questions.
Operator: Thank you. Our next question will be from Parker Lane with Stifel. Please go ahead.
Unidentified Analyst: Hey, it's Max on for Parker, just staying right there on the potential churn, thinking about this strong enterprise traction and kind of the way you're shifting away from some S and B free trials and stuff. What do you think the churn will be for those smaller customers or is, is it just a matter of new small customers not coming on? And is there an idea of what you think the overall percentage of enterprise should be in the long run?
Brent Bellm: Yeah, it wasn't so long ago that we were saying that enterprise could be 70% and we're here already. I think in our analyst day I mentioned that I think there is a clear path to 80 potentially 90% of our revenue could be enterprise on the small business side. I don't want anyone to think that we're not still winning small business merchants or not seeing revenue from small business merchants, that promotion what we found when we dug into it was, a lot of signups, but really low conversion after the promo period. So in terms of effective kind of P&L management, didn't make a lot of sense to have that hanging out there where you have gross new signups that don't convert to revenue. What we're seeing now is we're getting signups and they're converting and they're paying and the revenue from the signups that we're getting now for small businesses are, is actually much greater than the revenue we were getting when the promos were in place. So I think with the promos we attracted probably small businesses that, you know weren't real businesses or weren't serious about e-commerce what we're seeing now is small businesses that, you know, are serious, have real businesses and you know, are growing on our platform. So I think overall I would characterize it as a win in terms of attracting small business merchants that, you know, do drive revenue. And we expect that that two to one LTB to C will get better. Now that we're doing a better job of identifying those merchants, signing up those merchants and not spending too much money on acquiring merchants that won't convert.
Unidentified Analyst: Got it. That makes a lot of sense. And then thinking back to the strength you mentioned in Feedonomics and how well it's performing, are you still intending on investing around $5 million to $6 million that you mentioned during the analyst day, or is that potentially going to be lower as you look to cut some costs or is it potentially going to be higher given the success?
Brent Bellm: It wouldn't be higher. Feedonomics is now part of our omnichannel strategy. I mean, they just came off a quarter where they signed the three largest deals in their history. So that no reason for us not to continue to invest in Feedonomics and in our omnichannel initiatives, omnichannel in a lot of ways, if you think about a potential tightening spending environment we believe BigCommerce provides an excellent ROI total cost of ownership advantage for merchants around eCommerce. We also believe Feedonomics is super attractive for merchants who want to increase in their return on ad spend increase in conversion. And so both of our Feedonomics business and big commerce business, I think that there is some really, really strong advantages to what we offer for merchants. If they're taking a hard look at mission critical investments that they need to make,
Unidentified Analyst: I appreciate the color. Thanks.
Operator: Thank you. Our next question will be from Samad Samana of Jefferies. Please go ahead.
Samad Samana: Hi. Great. Thanks for squeezing me. Hi, RA. Hi, Brent. Maybe just first question just with your existing larger merchants, you know, they're usually planning for multiple years, even if things are maybe a little bit slower in the, in the short term So I guess, Brent, I'm curious when you think about multi-store, are you seeing customers still adopted and at least still launching new stores with the eye that is a transitory change in behavior, and that e-commerce is still going gain share over time, or just, how are you seeing the behavior of existing customers, even as they're thinking beyond let's call it the next couple of quarters and as they're -- as they're building their business for long term?
Brent Bellm: After the pandemic, every business views online and eCommerce as strategically essential to their future, what's so powerful about multi-store is it lets businesses add brands and or customer segments like B2B and or geographies in a far easier and more seamless way than they ever could before because they can do it all within one account and leveraging a common set of tools and backend integrations. When we first went into general availability at the end of Q1, it was available only to new stores and therefore our existing customers were sort of salivating for when it would be ready for them. And then last quarter we launched it now for existing enterprise stores and we're seeing very healthy demand for this among them. It's too early to say, like at what point, what percentage of our customers will have multiple stores using multi-store front? You could, many of them already had multiple stores that were redundant or, or sort of independent accounts, but now having single account multiple storefronts, we don't know what long term maturity will be in terms of penetration and number per, but I think it will be quite large because most of our mid-market enterprise customers are big. They are complex, they do have multiple brands, geographies and or segments to sell into. And, and so we think we're early days of a long term adoption trend there.
Samad Samana: Great, appreciate that. Thank you.
Operator: Thank you. The next question comes from Emil [ph] of Barclays. Please go ahead.
Unidentified Analyst: Hey thanks. Well for me to, for squeezing me and more bigger picture question if you think about the things going on in the industry and we just saw the big news at Shopify. How do you think it from an industry perspective now? Are we still on the kind of the hangover to some degree from the pandemic and the big boom in eCommerce and we kind of everyone kind of scaled up too quickly and now kind of suffering from that or are we kind of be way beyond that and this is now more getting ready for what's going to happen to the economy? Like, could you just kind of see how you frame it in your mind?
Brent Bellm: Thank you. Yeah. And, I've received this question probably more than any other question over the last couple of years and my answer's pretty consistent. If you look at the data and just take the us the best official slash public data source is the us census, which comes out with its quarterly eCommerce estimates for B2C in 2020, the year of the pandemic B2C grew 32% in the us if trendline growth rate had been 13% to 15%. All right. Let's just say that average is 14%. Well, 32% isn't even one and a half years of accelerated growth. Then when you got to 2221, so, alright, you've accelerated by about a year and a half in terms of eCommerce adoption and the height of the pandemic. Q1 continued to have growth rates north of 40% because they were overlapping some months pre pandemic. But then by the end of the year, you dropped down to 10% growth rates in the last couple of quarters of last year and the year average 14%, which was smack dab, normal pre pandemic. So you're already back to pre-pandemic levels. You've only booked about a year and a half worth of acceleration. And you're now growing at a rate lower than you were pre pandemic as you lapse the highs, Q1 was 6.6%. Q2 is not yet reported. My point is that the net of all of this is that B2C has accelerated by about a year through these two plus years of pandemic. It's our expectation by the end of this year, that the laughing of the peaks from a year ago and the return to store will be done, will hopefully be back to normal growth rates in that, you know, call it 12 to 15% range at the end of this year, but it was never a five to 10 year acceleration. And we didn't run our business as if it were we're eager to see those growth rates return. I think the, the biggest thing happening right now is just the softness in the economy. And anybody would say, well, if we were 10% growth-ish in Q3, Q4 of last year, but 6.6% in Q1 of this year, there's reason to believe that the softness in the economy is responsible for several of those points of GMV reduction. And at some point the economy comes back, growth comes back, we cycle through all of this in the long run the expectation at a macro level, at a global level, it's going to continue to be one to two points of total share gain per year of online, relative to offline and that's likely to persist for many years to come. So again, you won't find in economic history, many bigger, larger transformations over time, it's happening at a quite steady rate. It was almost a metronomic 13% to 15% growth rate a year pre-pandemic. And if we can get back to those growth rates everybody will look at this as a very attractive, predictable long term macro trend.
Unidentified Analyst: Okay. Yeah, it makes total sense. Thank you. And then Robert, like one quick, last question for me, like, as we go into macro downturn and like, obviously you talked about like some of the enterprise contracts that might not hit the volumes, et cetera. Can you and, and hence then kind of get, get stepped down, et cetera. Can you remind us, like how tightly are these contracts negotiated? Was there a lot of buffer in there or are they kind of close to where they are, they kind of relatively realistically negotiated in? He there's a, you know, there's quite a few step downs. Like how should we think about that?
Brent Bellm: Thank you. Yeah. I would characterize it as we try to build in kind of a good estimate as we negotiate them in the of what they expect, what we expect in the first 12 months in terms of number of orders. Remember our enterprise contracts are based, are order based. Now if they're, if volumes are elevated, they could get there faster. And again, we're using kind of a trailing 12 month view to kind of moderate or, or, or temper down any kind swings in the near term. In terms of like the next tier of orders, it's really based off the first tier that we negotiate. So some of our contracts are, low average order value high, average order value. So you really have to do it. It's merchant specific, and it's really working with the merchants in terms of what they're expecting to sell and what their history of sales have been.
Operator: Thank you. Next question will be from Matt Pfau of William Blair. Please go ahead.
Matt Pfau: Thanks Brent for fitting me in guys appreciate it. Wanted to just follow up RA and your comments around competition. Was there any changes in competition that drove those comments and then if there are any changes, are they specific to any of your segments? Thanks.
Robert Alvarez: Yeah, I don't think the usual suspects are still the same. I think what we're finding with the omnichannel, you know, partner program that we've launched is we're finding ways to allow merchants and our partners to leverage our omnichannel capabilities, that's platform agnostic. So you don't even have to be on big commerce to take advantage of that. And I think it's for us, what we're seeing is there's a high demand. If you're a, if you're on an old legacy e-commerce platform if you're on a platform that doesn't have the capabilities to optimize feeds and drive great transaction flow through all the different channels you're very frustrated because you need to grow your business and you want to look for ways to do that. And Feedonomics is I think a clear leader in their ability to help merchants with that. And so our ability to work with them, our ability to open up our ecosystem, have our partners sell Feedonomics into their base of merchants is I think for us just a really pleasant surprise. It's not something that we thought we would have an opportunity to do 12 months ago, but we have a strong opportunity to do that today.
Operator: Thank you. Next question will come from Keith Weiss - Morgan Stanley. Please go ahead.
Unidentified Analyst: Hi, this is actually Ryan [ph] for Keith Weiss. Thanks for taking my question. Maybe just first you've talked before about that cross-selling feed doo's into your install base provides an average  lift of 20 to 40%. And then at the time of the acquisition you had maybe 1000 customers overlapping how has this trended since and where could this go over time now? You've got a better view in the business.
Brent Bellm: Yeah, we still feel really good about those stats. I would say that the teams have really leaned in are, couldn't be more proud of our big commerce team leaning in with Feedonomics I'll tell you, you know, 12 months after the acquisition, it's pretty rare that the teams are intact, are excited, are motivated. The culture at Feedonomics is real, super strong. The excitement within big commerce to self EDOs is incredibly high and merchants, our enterprise merchants are, are, are really interested. So we're seeing good pipeline, we're seeing good adoption but we had to build the cross sell motions. So operationally, we had to get that motion in place, the system in place. And, once we did that, I feel like we're seeing some, really good demand signals to stand behind those stats that you mentioned.
Robert Alvarez: I'd add to that. I'd add that the other big opportunity is when we release selfer versions of Feedonomics, which are targeted at small and mid-market merchants, but frankly, even a larger merchant could start taking advantage of a subset of Feedonomics capabilities at reasonable initial cost. Once we have that version out. So when we have self-serve for Feedonomics. we'll target a few initial channels to be announced, probably advertising channels that are most popular and most widely used, and that could drive the count of adoption up very substantially once it's released.
Unidentified Analyst: Oh, thank you. And maybe on that kind of same line of thought, have you kind of evaluated what the average uplift is for cross selling multi-store front omnichannel B2B in those other areas you talked about that could drive growth of 10% of revenue over time?
Brent Bellm: I don't think we have a number off the top of our heads to share or even if we've thought about it exactly that way but…
Robert Alvarez: No, nothing, no, no specifics to share there on that front. What we are seeing is continued strong pipeline in B2B. We often see merchants that come to big commerce for B2B and they realize how strong our B2C offering is, and they can run everything on one platform. So, we still see a large number of opportunities that, that fit that use case. I thought we've talked a lot about omnichannel headless typically is a new deal, new sale, new opportunity when we respond to RFPs or when merchants really want a headless solution. But I'd say overall across kind of all those initiatives, we're, we're really seeing, you know, strong demand and signals that, that give us a confidence that those are areas we'll, we'll need to continue to invest in.
Unidentified Analyst: Thank you. Helpful. Appreciate your time.
Operator: Thank you. Next question will be coming from Brian Peterson, Raymond James. Please go ahead.
Brian Peterson: Hi, thanks for taking the question. This is John on for Brian. Just a follow up on the international expansion question asked earlier, given you've officially expanded into call it 11 plus nations over the last year, as we think about 2023 and beyond. How should we think about the pace of international expansion and the investments there? And then just as a quick follow up, maybe clarify a bit of the comments from earlier on longer sales cycles thus far, are you seeing any length fitting in sales cycles? And if so, are they tied to any specific geos? Thank you.
Brent Bellm: In 2023, I think the balance of our emphasis and investment will be growth in the markets that we have already expanded into building out personnel potentially in language customer support in, in select countries and building our marketing and sales effectiveness in those countries. We have a weight model that we call test and learn, which can involve putting up a marketing website that doesn't involve the same investment in actual people and infrastructure in market. And I think we will ramp more of that up relative to big full country launches in 2023. So the rate of announcing countries will determine as we finalize our plan, but I'm looking at geographies like Asia and Africa, where we don't have many flags planted and still see a lot of long term opportunity there. All right. You want to take the second question?
Robert Alvarez: Yeah. In terms of our sales cycles, we look at it with our mid-market team and our enterprise team. We're not seeing a lengthening of cycles. Some of the deals that we are now working on are just much larger deals. So the nature of those deals likely take a little longer, but when we kind of take a step back and think about alright, if we are going to have to face that headwind, could there be a little bit longer sales cycles potentially. But, if that happens, if those sales cycles lengthen for those reasons, then there's also reasons where our TCO advantage is really going to shine. So I think what we're hearing and what we're seeing from our agency partners and the merchants that we're working with that, that TCO advantage is, is really, really powerful in a tight spinning environment. Like I know at BigCommerce, we're looking at our, our spend on software and the mission critical software. And if you can provide me software that is 30, 50% cheaper and is better and more flexible and more modern than, you got my attention. So I think who knows what, how it's going to play out, but I think any lengthening of sales cycles could be balanced out with, maybe even higher pipeline.
Brian Peterson: Perfect. Thank you very much.
Operator: The next question will be from Ken Wong of Oppenheimer. Please go ahead.
UnidentifiedAnalyst: Hi, this is Nancy [ph] on for Ken. Thanks for squeezing me in here at the end. Just one quick test question from me. You highlighted it Analyst Day that had list sales through 34% last year and accounted for about 9% of new sales MRR in the year. Can you give us a little color on how headless is trending in 2022 and our new sales for headless still growing around three times faster than other use cases?
Robert Alvarez: That was a one-time disclosure. I'm not sure we'll update it on a quarterly basis, but I can absolutely confirm that headless demand stays very strong at BigCommerce and it's at all sizes. It's both at the low end of the market. Maybe customers are creating a front end on WordPress to the high end of the market where they're using leading CMSs like content stack content, full bloom reach, or sort of custom frameworks in react. And next. It's really fantastic. The user experiences that businesses are creating. And it's our belief that this approach to composable or headless is viewed as sort of the leading edge and the most modern approach for companies that are capable of pulling it off. And certainly the tech analysts are saying the same thing. So, demand is strong and I'll leave it to RA when we next provide formal data updates on that. Thanks for the question.
Operator: That concludes our question-and-answer session. I would now like to turn to call back over to Mr. Brent Bellm, President, CEO and Chairman for closing remarks.
Brent Bellm: Great, thanks everybody who listened in. I want to conclude with three quick takeaways worth emphasizing. The first is Q2 again was our largest and best ever quarter of subscription ARR growth and we did that in a market environment that's not the most favorable. I think that's a great indication of just how strong our core business momentum is. We also now have posted two quarters where we're so far this year where we've beat on the top line and bottom line guidance while holding firm to our full year guidance to the street. This is in a context where many other eCommerce players have disappointed or seen their own trend lines fall behind. And so we're really confidence in the underlying strength of our business and the things we have done to adapt to it, to stay true to our full year guidance because we certainly see headwinds in parts of our P&L as we outlined in the prepared remarks. And then the third thing is we're really excited about the increasing recognition we're getting from tech analysts and experts that BigCommerce is today, the world's most modern enterprise eCommerce platform. We're hoping that increasingly leads to ever more consideration and adoption in the quarters ahead. So thanks again everybody for joining in. we thought it was a good quarter and we look forward to talking to you again in three months.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.